Arne Møgster: It's a great pleasure for me to welcome you to Austevoll Seafood's Third Quarter Financial Presentation. I will first start by giving you the highlights of the quarter. Thereafter, I will take you through the different segments in the group. Our CFO, Britt Kathrine Drivenes, will take you through the numbers more in details, and then I will end this presentation by giving our view on the different markets we are operating within. So starting up, we have had, I would say, a quite good quarter and the contribution, in particularly from the pelagic activity of the group has been solid. The result is mainly driven from – or the change in the result from same quarter last year is mainly driven from improvement from our Peruvian activity and definitely also from the Scottish Sea Farms, which has had a quite good turnaround in their operation from same quarter last year to this quarter. So all-in-all, I would say the operating revenue is just north of NOK9.2 billion, EBITDA of just sort of NOK1.2 billion and an EBIT, including income from associated, which is mainly Scottish Sea Farm and Pelagia, of NOK802 million. Looking on the bottom side of the page, you're also seeing our EBITDA, including 50% of the Pelagia Group. And as you can see, our EBITDA is NOK1.450 billion, whereof NOK818 million is coming from Leroy, down NOK200 million from same quarter last year. And it's a considerable increase on the EBITDA for the pelagic segment, and it's mainly driven by our operation in Peru. I will revert to that later. Looking at year-to-date, revenue is NOK26 billion, EBITDA of NOK5.9 billion and an EBIT of NOK4.7 billion. And this is also including a gain of sales we did in the second quarter of NOK1.2 billion. And you can see also that our balance sheet is quite strong, total asset of just north of NOK52 billion, equity ratio of 53% and a net interest-bearing debt of NOK6.5 billion. Doing the same exercise on 50% share of Pelagia, you can see also that our total EBITDA on the first nine months is NOK6.4 billion and NOK3.3 billion is coming from the salmon segment and approximately NOK3 million from the pelagic segment, but that's also including NOK1.2 million in gain of sales of two fishing vessels. So excluding that, you can see also that our EBITDA is NOK1.8 billion, up from NOK1 billion, and is mainly driven by a NOK900 million better performance in Peru. First of all, seafood is all about volumes, I would say. This year, we have quite good volumes in all our regions. So we are expecting to catch 450,000 tonnes in Peru, Chile and here in the North Atlantic. We are aiming to produce approximately 1.9 million tonnes on our pelagic factories in the three regions. And also, we are expecting to harvest and produce just south of 90,000 tonnes of whitefish. And this year, we are aiming to slaughter approximately 200,000 tonnes of salmon. So starting up, looking at our pelagic business, starting up with Peru. And by first of November, the second season started up in Peru. As you can see on the graph here, which shows the second season of the last 10 years in Peru, you can see that it's our biomass identified in the research just below 8 million tonnes and it put a quota of 2.5 million tonnes, which is considerably higher than it was the same season last year. And as you can see also, it started up a bit later than last year. So I would say, in order to catch this fish, we are in a hurry, and we are estimating that we would probably and hopefully catch until the end of January in order to reach our quota. The biomass, as you can see, just south of 8 million tonnes is 10% above the average of last decades and also the quota is 25% above what's normal. So normally, it's around 2 million tonnes. And this time, they put a quota of 2.5 million tonnes, indicating also that the fish they have identified in the research is also on a correct size in order to be caught. In our case, our quota is 175,000 tonnes, and it's up from the 86,000 tonnes we caught in second season the same year. Chile, normally third and fourth quarter, we have limited activity because the season [indiscernible] by first half. This year has been a change. And as you can see in third quarter, we have had a catch of 37,000 tonnes, which is quite good. And so far this year, we have caught 112,000 tonnes, which is up from 61,000 tonnes the year before. And it's, I would say, a pleasant development if you look at the Chilean quota where you can see the fishery was failing in 2010, 2011, and they have now slowly been rebuilding the biomass. And we're also expecting that next year quota, there will be a 15% increase. Looking at the raw material for the North Atlantic pelagic quota, you can see that there is a drop in particularly on the capelin, but also for mackerel and also from North Sea herring. So the expectation for next year is it's going to be a more limited volume in for – in particular, human consumption and also a bit less trimmings for us and for the fishmeal activity. All-in-all, Pelagia is delivering, once again, a good quarter. This quarter is mainly a slow quarter in terms of production, but it's a high quarter in terms of sales. So the main raw material input is trimmings and also salmon-based raw material in this quarter and more or less in line with how it was last year. The expectation for the year, 950,000 tonnes, approximately 40,000 tonnes less than last year. And I would say we have had a quite stable market out the 2024. When it comes to the human consumption activity, it's the main season we are in. We are in the tail of that season. And I would say so far the mackerel season and also the North Sea herring season and also the spring-spawning herring season has been handled and tackled in an acceptable way. And we are, at the moment, of course, with high seasonal stock position. So all-in-all, looking at the result, more or less in line with last year, NOK4 billion in revenue, EBITDA of NOK5 billion and EBIT of NOK410 million. And if you look at the full-year, you see also that we have passed the NOK10 billion in revenue, EBITDA of NOK1.1 billion and an EBIT of just short of NOK800 million. Then looking into the salmon and whitefish segments, and I suggest you to take a look at the webcast of Leroy in order to get a more detailed description of how we have performed in the quarter, but also to look at how we are expecting both volumes and also market to develop. Shortly, you could say that the EBIT is down NOK200 million, and it's mainly driven by a lower price achievement. There has been a lot of sea lice treatment, which has increased cost and also comparing with the same quarter last year, you can also see that feed cost is a bit up, and it's mainly driven by the weakening of the NOK. Slaughter volume of 51,000 tonnes, which is 2,500 tonnes less than same quarter last year and is divided quite even with 17,000 tonnes in Leroy Aurora, approximately 17,000 tonnes in Leroy Midt and also 17,000 tonnes in Leroy Sjotroll. EBIT per kilo, NOK9.2, is also big variations in the North, NOK19 EBIT per kilo in Leroy Midt, NOK12 EBIT per kilo, and we have a negative EBIT per kilo in Leroy Sjotroll, but we are doing better, I would say, this autumn versus the same autumn last year. In the end, we have taken down our expectation for 2024, 170,000 tonnes in Norway is our expectation. Next year, we are guiding on 2025 volume of 195,000 tonnes and including Scottish Sea Farms this year, 190,000 tonnes next year, 211,000 tonnes. When it comes to the wild catch segments of Leroy, it's a challenging period. Quota has been down, which is also have an impact on the, I would say, raw material intake, both for our fleet and also for our plants. And it's partly compensated by the increase of prices, but the disadvantage of lower quota is not compensated by higher prices. Cod prices is up approximately 25%, haddock up with 52% versus same quarter last year and saithe prices up with approximately 6% versus same quarter last year. And the expectation for next year is that quota will continue down. Cod quota for our vessel is down with 32% and the haddock quota is down by 8%. So then I give the floor to Britt.
Britt Kathrine Drivenes: Thank you, Arne. As normal, we start with the summing up the raw material intake in the quarter. And as you can see, there has been good activity in Chile, 37,000 tonnes compared to zero fishery in the same quarter last year. As normal, low activity in Peru. They finished their quota by the end of June this year for the first season. And here in the North Atlantic, we started an important food season in third quarter with intake of North Sea herring and also starting up with the intake of mackerel from August up. When we look at the salmon and trout, total for the group the harvested volume is approximately or exactly the same as same quarter last year, but there are some variation between the companies. I will come further into that when we go later in the presentation. Arne has gone through the key figures earlier. So I will just mention a few things here. This is, of course, included our 50% share of Pelagia. And we are glad to see that a normalized first season in Peru has given an increase in revenue this quarter of over NOK900 million and also an increase in EBITDA of NOK389 million compared to same quarter last year. There has been a decrease in revenue and earnings from the salmon and whitefish operation, and that is mainly explained by lower price achievement in the quarter compared to same quarter last year. And here we start with the income from associated companies, and that was NOK117 million in third quarter this year, up from NOK89 million in same quarter last year. And we are very glad to see that there is – after a very challenging year in 2023 for Norskott, we can see a very positive operational performance and also a financial performance. EBIT, including income from associated companies was NOK802 million in third quarter, up from NOK603 million in same quarter in 2023. Looking at the profit before tax and fair value adjustment that came in at NOK708 million, up from NOK300 million in same period in last year, we have had a negative biomass adjustment in the quarter. It was minus NOK629 million. And of course, that impacts our net result. And the net result in third quarter this year was NOK168 million, a significant up from the minus NOK508 million in same quarter last year. That said, we also had a negative fair value adjustment related to biological assets in third quarter in 2023, that was minus NOK710 million. Earnings per share came in – and that is ex this biomass adjustment, came in at NOK2.70, up from NOK0.4 in same quarter last year. There is a year-on-year improvement in the biology in Leroy. However, there has been a very challenging third quarter with a high sea lice pressure. And a increased sea lice treatment frequency has impacted the net growth, which came in somewhat lower than we expected. The price achievement for salmon and trout has also been weak and a combination of weaker prices and somewhat higher cost has given a lower earnings this quarter compared to same quarter last year. The harvested volume was down 5%, a little bit above 51,000 tonnes, down from close to 54,000 tonnes in same quarter last year. It's not only for a Leroy we have had a challenging quarter, that has been for the total industry here in Norway. And we see that high harvested volume has given high export volume out of Norway. So that was up 6% in third quarter this year compared with same quarter last year, and the spot prices are down with NOK7 this third quarter compared with third quarter last year. EBIT per kilo ex wild catch came in at NOK9.2, down from NOK12.4 in third quarter in 2023. The quota reduction within wild catch has been quite challenging. It's not – it's both for the trawling fleet, but also for the onshore activity and maybe especially for the onshore activity because they have a combination of lower raw material availability compared with a increase in prices for the raw material. So EBIT for the wild catch segment is minus NOK58 million, which is NOK20 million worse than the same quarter in 2023. As mentioned, lower fishing activity in the third quarter for Austral Group, but there has been a high sales volumes in the quarter. Austral finished the quota for first season by the end of June. And this quarter, third quarter, they have sold 31,000 tonnes of fishmeal, up from 3,000 tonnes in same quarter last year, and 6,000 tonnes of fish oil, up from 300 tonnes same quarter last year. Fishmeal prices are down 12% year-on-year and fish oil prices are down 22% year-on-year. However, I would like to mention that the price achievement for fish oil in third quarter has been high, looking or comparing with a historical level for fish oil prices. Revenue in the quarter, just above NOK1 billion, EBITDA at NOK312 million and an EBIT of NOK254 million, which is an improvement of close to NOK400 million compared to third quarter in 2023. FoodCorp has got 37,000 tonnes in third quarter this year. And this is because we have a higher own quota in 2024, but we have also purchased a higher volume of quota from third parties. In third quarter last year, there was no fishing activity. We have sold 16,000 tonnes of frozen products, up from 9,000 tonnes in the same quarter last year, and there has been an increase in the prices for frozen fish of 24% compared with same quarter in 2023. The revenue in the third quarter was NOK275 million, EBITDA of NOK73 million and an EBIT of NOK59 million. Kobbevik og Furuholmen, they have harvested just above 1,700 tonnes and that is close to 1,000 tonnes up from same quarter last year. They have harvested from one site with challenging biology and on lower harvest weights. So this has, of course, given a low price achievement, but also some higher cost. The EBIT per kilo in the quarter was negative minus NOK9.3. What I would like to mention is that the remaining fish or salmon on this site has been slaughtered in October. And we see for the next generation coming up that there is a substantially better biology than this site. Not much to mention from Br. Birkeland, they sold their pelagic activity by the end of second quarter this year. So now the remaining activity there is the two vessels fishing snow crab. The fishery for snow crab in Norway ended in March this year, then the total quota was caught. So they have had no operation in third quarter, and there will be no operation in the fourth quarter either. So their operation will start up again in 2025. Br. Birkeland has paid out a dividend in third quarter this year of close to NOK1.8 billion. Out of this, AUSS has received NOK754 million, representing our owner share of 42.9%. Total assets by the end of September was NOK52.6 billion. There is a net interest-bearing debt of close to NOK6.5 billion. There is – we have a strong balance sheet or the group has a strong balance sheet. The booked equity is NOK27.7 billion and equity ratio of 53%, and that has increased from 50% by end September in 2023. We have had a good cash performance from operating activities, NOK1.6 billion in the quarter. The cash from investing activity is minus NOK558 million. And in addition to the maintenance CapEx, we also do investment in shielding technology within farming. Cash from financing activity was minus NOK2.2 billion. You can see that there has been a change in short terms or working capital credit facilities of NOK645 million, but we also paid out dividend out of the group of a little bit above NOK1 billion. So we started the period or the quarter with a cash position of close to NOK7 billion, and we ended third quarter with a cash position of NOK5.8 billion. Okay.
Arne Møgster: Then I will end this session by giving the view on the different markets we are operating within. And starting off with the fishmeal market. And as you can see, for the main producers, more or less the volume is down versus same period last year in year-to-date week 41. Saying that, you can see Peru by far has been increasing their production. And you can see the difference between having a weak season first half versus having a slow – now a very good season now in 2024. And it has had consequences on prices. You can see fishmeal prices has been coming down approximately $200 versus the end of third quarter. And that is for $1,490 per tonne for Super Prime and a discount of $200 per tonne on Standard. Main consumer of the fishmeal, both last season and also this season, has been China. As you can see, is a record high offtake of volume, 350,000 tonnes, which is up 161% versus the same period last year. Offtake, around 3,800 tonnes a day. And you can also see prices has been – is traded over the prices they are selling in Peru, also triggering more consumption and more demand. So in reality, you can also see prices is also coming down in China as a consequence of a very high quota in Peru. Same with fish oil, 96,000 tonnes in 2024, up from 9,000 tonnes same period last year in Peru. And in addition to an improved fishery, we're also seeing that the yield is considerably higher in 2024 versus 2023, so up 880%. And of course, when production is coming up, we've also seen a reduction in prices. And as a consequence of very limited volume in 2023, you can see prices has come down before the season started in Peru, now to approximately $3,000 per tonne. Looking at the Atlantic salmon supply, the three last year there has been a negative to zero growth, which is not good if you want to develop the salmon market. The expectation for 2025 is up with approximately 5%. And we hope that the market is – hope that the supply will end up like this. So we are able to develop the market. And as you can see here as well, the prices are extremely volatile. And I would say the same pattern has continued as we saw last year, but with more extreme prices, both upward prices and downward prices. And still, I would say, into mid-November, prices is a bit lower than we were hoping for, but hopefully it will come back now as a consequence that there has been taking out high volumes, both in September and October of low-weight fish, which were supposed to come in the end of the year. So we have to look at how the supply is developing by the end of the year and how the consumption is developing. And hopefully, we will have an increase of prices. We are lucky that we have seen an increase in the EU market, which is the main market, consuming 6% more than the same period last year. Other markets up with 5% and the United States down by approximately 3%. So summing up, I would say that although it's been a challenging third quarter by the end of the quarter, mortality has been reduced versus same period last year, and we have also been feeding more and into the present day also, we have seen a considerable improvement in growth versus same period last year. So I would say all the measures and improvements we have done within the roe, genetics, smolt quality, shielding technology are starting to show signs of improvement. So we are expecting 190,000 tonnes this year, 211,000 next year. And if we are avoiding jelly fish in the season we are into now, this is going to be an interesting, would I say, start of 2025. Whitefish, we had quota coming down in 2024 and the quota will also continue to decrease in 2025. Cod quota down in – with 32% had a quota down with 8% and we are expecting a challenging year for this segment in 2025. Also, an okay start in Peru. It's approximately 400,000 tonnes landed and the quota is put on a higher side. So we are a bit in a hurry in order to reach the 2.5 million tonnes by the end of January. Chile also pleasant development, a high catch in the quarter and also we are expecting 7,000 tonnes by the end of the quarter. And also, hopefully, we are aiming to break the trend to lose money in fourth quarter and have positive margins for the first time since we came into Chile. Normally, the season is done in first and second quarter, and we are taking cost in third and fourth. But this year, we hope to be different. And also pleasant to see the expectation of a 50% increase to 2025. When it comes to Pelagia and the North Atlantic, summing up, at least we are expecting a bit less trimmings into our factories in 2025 and also less volume in for our human consumption factories. But still, I would say, a high wild catch volume in for the fishmeal and fish oil activity. And that is all, and I thank you for your attention.
Q - :